Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cohen & Steers Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, July 18, 2025. I would now like to turn the conference over to Brian Heller, Senior Vice President and Deputy General Counsel of Cohen & Steers. Please go ahead.
Brian William Heller: Thank you, and welcome to the Cohen & Steers Second Quarter 2025 Earnings Conference Call. Joining me are Joe Harvey, our Chief Executive Officer; Raja Dakkuri, our Chief Financial Officer; and Jon Cheigh, our President and Chief Investment Officer. I want to remind you that some of our comments and answers to your questions may include forward-looking statements. We believe these statements are reasonable based on information currently available to us, but actual outcomes could differ materially due to a number of factors, including those described in our accompanying second quarter earnings release and presentation, our most recent annual report on Form 10-K and our other SEC filings. We assume no duty to update any forward-looking statement. Further, none of our statements constitute an offer to sell or the solicitation of an offer to buy securities of any fund or other investment vehicle. Our presentation also contains non-GAAP financial measures referred to as as-adjusted financial measures that we believe are meaningful in evaluating our performance. These non-GAAP financial measures should be read in conjunction with our GAAP results. A reconciliation of these non-GAAP financial measures is included in the earnings release and presentation to the extent reasonably available. The earnings release and presentation as well as links to our SEC filings are available in the Investor Relations section of our website at www.cohenandsteers.com. With that, I'll turn the call over to Raja.
Raja Adnan Dakkuri: Thank you, Brian, and good morning, everyone. Our remarks today will focus on our as-adjusted results. A reconciliation of GAAP to as adjusted results can be found in the earnings material. Yesterday, we reported earnings of $0.73 per share compared to $0.75 sequentially. Revenue for Q2 increased 1.1% from the prior quarter to $135 million. The change in revenue from the prior quarter was driven by a few items, including higher average AUM and day count. Our effective fee rate was 59 basis points, which was in line with the prior quarter. Our operating margin was 33.6% compared to 34.7% in the prior quarter. As noted, we experienced higher average AUM compared to the prior quarter. In addition, ending AUM increased compared to Q1. Ending AUM was $88.9 billion as of Q2 compared to $87.6 billion at prior quarter end. End-of-period AUM was positively impacted by market appreciation during the quarter. It is worth noting that the market events of April negatively impacted our average AUM during the quarter. However, AUM more than recovered by the end of Q2. Net inflows into our open-end funds were offset by institutional net outflows. Our open-end funds have experienced positive net flows in the last 4 consecutive quarters. Joe Harvey will provide additional insights regarding our flows and pipeline. Total expenses during Q2 were 2.9% higher than the prior quarter due to a number of drivers. Compensation and benefits increased during the quarter. The change in comp and benefits was in line with the sequential increase in our revenue. As a result, the compensation ratio for the quarter remained at 40.5% Distribution and service fees were impacted by higher average AUM in our open-end funds. G&A expense levels increased versus the prior quarter. G&A was impacted by travel and other business development activities, including, for example, the launch of our active ETFs. This activity is consistent with our focus on sales and distribution. As a result of our efforts, we generated a meaningful increase in our won but unfunded pipeline as of quarter end. We will detail this later in the call. In addition, regarding expenses, we experienced higher levels of talent acquisition costs during the quarter. The primary driver was recruiting for our sales and distribution functions. Regarding taxes, our effective rate was 25.3% for the quarter. Our earnings material presents liquidity at the end of Q2 and prior quarters. Our liquidity totaled $323 million at quarter end, which compares positively to $295 million in the prior quarter. Let me now touch on a few items regarding 2025 guidance. With respect to comp and benefits for 2025, we expect our compensation ratio to remain at 40.5%, in line with our prior guidance. We expect full year G&A to increase in the 7% to 8% range as compared to full year 2024. The change in G&A is primarily driven by talent acquisition costs during 2025 as well as travel and other business development activities. Also impacting G&A are expenses related to our active ETF launch. Other drivers of G&A include infrastructure investments such as our foreign office upgrades. During Q2, we moved into our new Hong Kong office. This relocation represents the last of our planned foreign office upgrades. We remain focused on expense management and will be disciplined while continuing to make selective investments in our business. After this year, we expect annual G&A changes to moderate from 2025 growth levels to being in the mid-single-digit percentage range. Lastly, we expect our effective tax rate to remain at 25.3% on an as- adjusted basis for 2025. I'll now turn it over to Jon Cheigh, who will discuss investment performance.
Jon Young Cheigh: Thank you, Raja. Today, I will first review our performance scorecard. Second, I'll share our views on the market environment, the importance of diversification and the state of the real estate market. And last, I'll highlight our recently launched tactical listed and private real estate strategy. Beginning with our performance scorecard, the second quarter saw 89% of our AUM outperform its benchmark. On a 1-year basis, 94% of our AUM has outperformed its benchmark, while our 3-, 5- and 10-year outperformance rates are all above 95%, highlighted by 99% of AUM outperforming over 10 years. Our 1-, 3- and 5-year excess returns are all well in excess of 200 basis points and above our targets. From a competitive standpoint, 90% of our open-end fund AUM is rated 4 or 5 star by Morningstar. In short, our investment franchise remains as strong as ever. And as our asset classes continue to gain favor, we remain well positioned to take advantage of new opportunities. Transitioning to the market environment. In the first days of the quarter, markets were rattled by escalating trade tensions and geopolitical uncertainty, leading to sharp declines in equities and heightened bond market volatility. However, some backtracking and a pause on tariffs helped restore investor confidence, driving a sharp risk on rally with mega cap tech stocks leading the recovery as the S&P 500 and the MSCI all country world indices returned 10.9% and 11.7%, respectively, in the quarter. For our asset classes, absolute performance was generally positive for the quarter, but underperformed broader equity and fixed income markets. As we talk with our investors about the current environment and outlook, we have focused on 2 critical points: one, the importance of a disciplined approach to diversification and valuation; and second, that real estate values have bottomed and valuations are attractive, representing an increasingly compelling risk-reward opportunity for new investors. On diversification, a topic we've spoken about throughout the year, it's worth noting that having a properly diversified portfolio continues to serve investors well. Indeed, despite the robust gains in the S&P 500 in Q2, global equities still outperformed the U.S. and similarly, global real estate outperformed U.S. real estate. While it may seem like cap-weighted U.S. equities have regained the spotlight, in fact, real assets outperformed broader markets over the first half of 2025. Taking a closer look at year-to-date returns, global equities, global listed infrastructure and natural resource equities with gains near or greater than 10% each have all substantially outperformed the S&P 500's 6.2% gain year-to-date. Global real estate and commodity returns have trailed only slightly. Six months ago, all the talk was about U.S. exceptionalism, but only 3 months later, investors began to question and take action on their major overweights to U.S. assets. Our high conviction and advice to investors is that they need to strategically allocate to listed real assets prospectively and not after the fact, before the inflation risk in their portfolios become apparent. We believe the outlook remains favorable for real assets, where valuations are at more attractive starting points than equities. The era of ultra-low interest rates is gone, inflation is stickier, fixed income allocations have been reestablished given higher yields. And there is a greater need for true diversification in portfolios that is not solved by stocks, bonds and private assets alone. Moving specifically to real estate. After a nearly 2-year downturn, private real estate prices have reached a clear turning point. 7 consecutive quarters of negative returns that started in 2022 have now given way to 4 consecutive positive quarters. We believe prices across several property types have bottomed and are beginning to appreciate with a leader being open-air necessity-driven shopping centers, which have been the focus of our private real estate strategies. While the broader private market has bottomed, some existing private real estate funds must still work through portfolios built at peak valuations and in sectors concentrated in last cycles winners of multifamily and industrial. Forward real estate performance will be heavily driven by property type and geographic exposure, and we expect those last cycle winners to be this cycle's laggards. The reason for real estate bottoming is twofold and relates both to the listed and private markets. one, stable long-term interest rates, even if at a higher level than several years ago; and two, improving rental growth with the magnitude depending upon the property type. Many observers focus solely on interest rates, and I believe that's an incomplete assessment of what's happened the last few years. Lower interest rates may help valuations in the short run, but over time, they encourage new supply, which can lead to lower rents. The 2021 cycle perfectly demonstrates this as low interest rates helped valuations, but also drove fund flows into the sector and encouraged development and excess industrial and apartment supply in 2023 that still exists today. REITs have underperformed equities the last few years, partially because of interest rates, but just as much because new supply led to slowing earnings growth versus tech-led equities delivering double-digit earnings growth. Today, supply has slowed down and the 4-plus percent interest rate regime of the last 3 years has directly led to supply and demand coming back into balance. We strongly believe that too much is made of the higher for longer story impact on valuations and not enough is being made of the positive impact higher rates have on discouraging new supply and the normalization and return of rental growth, which we project in 2025 and beyond. I'd like to finish by highlighting the mid-May announcement regarding our launch of a tactical listed and private real estate strategy. We believe this strategy can be a compelling solution for both large and small institutional real estate investors who tend to focus the majority of their real estate investment on the core and core plus part of the risk return spectrum. Historically, investors view their listed and core real estate allocations in separate silos, but there are several key benefits to combining listed and private real estate allocations into one integrated strategy. This recognition of the power of an integrated strategy is what prompted Cohen & Steers to partner with IDR Investment Management to launch a real estate strategy designed to tactically allocate to both listed real estate securities and core private real estate in a single portfolio. IDR has a patented process to replicate the NCREIF ODCE Fund Index. We believe that such an integrated strategy has several advantages over legacy strategies. First, this blend has historically led to higher returns, reduced risk and lower drawdowns over a full cycle when compared to core private real estate alone. Second is improved liquidity. By definition, private allocations constrain liquidity more than listed REITs. The additional challenge is that those conditions often tighten when liquidity needs are greatest. But our strategy in partnership with IDR should create significantly more liquidity than stand-alone private allocations. Third, an allocation to an active listed REIT strategy has strong potential for Alpha as our historical performance demonstrates. And finally, a blended listed and private real estate strategy gives us as manager the ability to tactically allocate between the strategies. While listed REITs and private real estate generally move together over long periods of time, REITs historically lead private real estate repricing in both downturns and recoveries, particularly at market turning points. This lead lag dynamic in real estate is important because it creates timing-based windows of opportunity for knowledgeable investors with the governance and structure to take advantage. Our early discussions with investors confirm that this combination of returns, reduced drawdowns and enhanced liquidity may be very compelling for large and smaller institutions, and we expect to provide regular updates on the strategy over time. I strongly believe that we have innovated something that didn't exist before, that is complicated, but that the industry desperately needs. Any innovation is hard work, and I want to thank our partners at IDR and our team members across our legal, tax accounting, product, distribution and investments for being entrepreneurs and creating something we believe will be impactful. With that, let me turn the call over to Joe.
Joseph Martin Harvey: Thank you, Jon, and good morning. I'll begin by apologizing for the fire alarm in the background. I can assure you we're all safe and we're back on track. Today, I will review our key business trends in the second quarter and then provide an update on our strategic priorities. Starting with a top-down recap of the quarter. Our relative investment performance is strong. Fee rates are stable. Our asset classes market performance range from slightly negative for U.S. REITs to in line with market for international REITs and infrastructure strategies. Our flows turned slightly negative after 3 quarters of inflows. Our one unfunded pipeline has built back up, and we made good progress with our growth initiatives. The market provided a strong quarter of financial returns after April's liberation day drawdowns. Stocks outperformed bonds and real assets and global strategies outperformed U.S. strategies. The resiliency in the economy and markets has been impressive and reflects, in my opinion, a combination of demographics, high productivity, strong private sector balance sheets with broad liquidity as well as hope on the policy front. Now let's dive into some details. In the second quarter, we had net outflows of $131 million after 3 consecutive quarters of inflows starting in the third quarter of last year when the Fed began to cut interest rates. Year-to-date, our overall flows are positive, which stands out in light of the fact that Morningstar flows in our categories for both active and passive have been modestly negative, except for infrastructure. Our largest flows for the quarter by strategy include $349 million in net inflows into U.S. real estate and $489 million in outflows from preferred securities. About 2/3 of the preferred outflows was attributable to one of our preferred open-end funds being removed from a model run by a large private wealth allocator. We continue to see good activity in global listed infrastructure, yet those flows were partially offset by some account rebalancing. Open-end funds had net inflows of $285 million, the fourth consecutive quarter of inflows. Closed-end funds had inflows of $103 million as we drew on our line of credit to make additional investments in our infrastructure closed-end fund, UTF. Advisory had net outflows of $412 million and sub-advisory had outflows of $107 million. Breaking down open-end fund flows, the $285 million of inflows in the quarter results in a 12-month inflow total of $3.2 billion. U.S. open-end funds had $124 million in net inflows. Our offshore CCAVs had net inflows of $121 million, the second highest flow quarter ever and continuing a positive trend for the 19 of the past 20 quarters and active ETFs had inflows of $54 million. In U.S. open-end funds, our market share continues to expand in U.S. and global real estate and infrastructure categories, and it is holding steady in preferreds. In advisory, the $412 million of outflows were attributable to account rebalancing for various reasons, including selling down to strategic allocation targets, taking gains to offset losses elsewhere and the restructuring of a defined contribution plan. These outflows were partially offset by 3 new mandates totaling $69 million. Sub-advisory was relatively quiet with $77 million of rebalancings out and $30 million in net outflows from Japan. None of the redemptions were related to our investment performance. Last quarter, we noted that our unfunded pipeline was $61 million, a low watermark historically. I'm pleased to report the pipeline has since built back up and stands at $776 million, which compares with the 3-year average of $845 million. We also had one awarded and funded mandate of $135 million in the quarter. 52% of the pipeline is in U.S. real estate, 26% is in global listed infrastructure, 15% is U.S. real estate and the balance is in various real asset strategies. Two of the largest mandates were so-called takeaways from competitors in one case for the sleeve of an open-end real assets vehicle in Canada and the other for a corporate defined contribution plan that transformed a global allocation into a U.S. REIT allocation. Last quarter, we indicated that we had approximately $290 million of impending redemptions. Of that, $200 million occurred in the quarter. We have been apprised of another $400 million to be redeemed, resulting in total prospective redemptions of approximately $500 million. Therefore, with the one unfunded pipeline at $776 million and taking into account these known redemptions, the net pipeline is $275 million. We flagged these known redemptions for several quarters now, and the main reasons for them have been tactical adjustments to get allocations down to target weights and outflows from sleeves of what I call old architecture strategies or vehicles which are less competitive. And again, none of these prospective redemptions are performance related. Turning to strategic initiatives. As you know, in February, we launched our first 3 active ETFs. We are very pleased with the launch. As a reminder, our business strategy is to offer our core strategies through active ETFs with the first 3 being real estate, preferreds and natural resource equities. Most importantly, investment performance is off to a strong start with attractive alpha and peer rankings in all 3 ETFs, consistent with our investment results broadly in these strategies. In our first full quarter, we recorded $54 million in net inflows. Total AUM is now $133 million, inclusive of our original seed of $55 million. In a survey by Broadridge, 43% of investment advisers expect that ETFs will replace most or all of their open-end fund mutual fund allocations. Based on our early success with the launch and the trends underlying the Broadridge survey, we plan to launch more active ETFs in the coming months. We have not filed for ETFs as a share class of open-end funds. And for now, we believe we can execute our plans with stand-alone launches. We continue to make progress with our private real estate initiative. Cohen & Steers' Income Opportunities REIT continues to be the best-performing non-traded REIT as measured by total return for the year ended May. CNS REIT returned 12.2% for that period compared with 5% for the average non-traded REIT. Our strategy of investing in open-air shopping centers has been differentiated and alpha generating. We believe our listed real estate franchise will continue to provide investment connections to our private strategies and that the listed market leads the private market and provides clues as to where the private market is headed fundamentally and valuation-wise. Among private wealth alternative strategies, private credit continues to be the most popular while real estate moves through its fundamental and valuation cycles. As Jon articulated, we believe that commercial real estate prices generally have bottomed. On the capital raising front, while private credit has outpaced real estate by a larger margin, we believe the more real estate price trends demonstrate that a trough has been formed the closer will be to a capital shift towards real estate. We continue to identify additional seed capital investors while ramping our engagement with RIAs. We are live on the Schwab, Pershing and Fidelity platforms, which provides access to the majority of the RIA market. We have also been recently approved for distribution at a regional broker-dealer and at a significant enterprise wealth platform, both important milestones as we move to broader distribution. Jon talked about our new listed private core real estate strategy designed for institutional investors. There's not a lot to report at this point on capital raising. But as we have begun investing, we're in discussions with several institutions. More to come, but the strategy's rationale as an improvement to core investing and to better integrate listed and private is resonating. We would like to find a similar partnership arrangement for infrastructure and are in discussions with several managers. This is driven by our passion for building better portfolios with listed and private allocations. Last quarter, we also discussed investing in our distribution capabilities as a strategic priority for this year and next. This includes not only additional talent in areas that support growth, but also investments in data and data analysis. With regard to talent, we have made additions to expand our wealth channel presence, particularly in the RIA and multifamily office segments for the ETF launch and for our offshore funds and for the institutional team, both in the U.S. and internationally. We continue to see opportunities for asset owners to add real asset allocations to their portfolios, and we believe additional resources will help us gain market share with those investors. The vehicles we are launching, along with the extensions of our investment capabilities are designed to reach these growing investor segments. We have more work to do here, but our objectives are clear. We look forward to reporting our third quarter results in October. Meantime, please call us with any questions. Now I'll turn the call back to operator, Abby, to facilitate Q&A.
Operator: [Operator Instructions] And our first question comes from John Dunn with Evercore ISI.
John Joseph Dunn: Maybe just on what you were kind of wrapping up with. Maybe could you give some color on the temperature of the wealth management channel? Like how is the appetite for gross sales and which strategies are in and out of favor? And looking forward to the second half, do you expect any seasonality to play out over the course of the next 6 months?
Joseph Martin Harvey: Thanks, John. Well, the wealth channel is very important for us and as a percentage of our AUM. And as we've talked about with the growth in the RIA segment and the growth in wealth overall, we're continuing to invest to reach more broadly, particularly into the independent RIA segment of it. And on that front, I'd say we are making good progress at gaining some allocations with some very sophisticated RIAs and that's happened in real estate. It's happened in multi-strategy real assets and it's happened in infrastructure. We talked about the flows. We've continued to be positive in wealth. They've been a little bit less in the second quarter. If you look at our gross sales in the second quarter, they've been lower, about 10% lower than what they've recently been. But I do think there's some seasonality to that. We've had a dip in the second quarter in the past 3 to 4 years. I wouldn't call that statistically significant. But there's -- particularly in the second quarter with the liberation day we feel very good about our team and what we're doing and the potential to continue to drive real asset allocations. Just to expand a little bit more on that, we continue to have more vehicles to offer to this channel, particularly with the active ETFs and increasingly, as we gain platformings with our non-traded REIT, our team has a lot more to talk about with these investment advisers.
John Joseph Dunn: Got you. Yes, maybe on active ETFs, some have really taken off and material drivers. Maybe you just talk a little more about how you're finding the early days of marketing and selling your suite. Is it being looked at by new investors or existing ones? And what's kind of the profile of who -- where you're seeing the best results, like which segments of the channel?
Joseph Martin Harvey: Well, this is really exciting because we feel like we're off to a very good start, and we can see the flows starting to build. They're still relatively small, but the people that we have brought in from other firms who have done these launches before are very excited about what we have. And based on the anecdotes that we've seen so far, we've had RIAs who only allocate to ETFs make some allocations. So this is money that we wouldn't otherwise have touched. We also have heard stories about advisers in wire houses who are converting their books of business from open-end 40 Act funds to ETFs. So when I hear stories like that, it really motivates us to continue to launch new active ETFs in our core strategies so that we can retain and grow assets as wealth grows with these types of advisers.
Operator: [Operator Instructions] And our next question comes from the line of Rodrigo Ferreira with Bank of America.
Rodrigo Beisbier Ferreira: Global listed infrastructure saw strong flows in the first quarter, and that seems to have weakened a little bit in the second quarter with a higher level of outflows. Can you talk about what drove that and your early views on the strategy in the third quarter?
Joseph Martin Harvey: Sure. Well, thanks for joining the call, Rodrigo. Our GLI strategy was positive in the quarter, but it was at the lower end as compared with what it's been trending at. We've had some good additions to the strategy, but we had 2 relatively large redemptions from institutional investors who have had very large allocations to infrastructure, and they pared back some of those weightings closer to their target levels. And in one case, it was an international institution, which wanted to take some gains to offset some losses in another part of their portfolio. So this is good news, bad news. The good news is we really did our job and performing for this client. But the bad news is that they needed to create some liquidity. But longer term, they're still a client, and we'll be looking forward to them reallocating at some point. We really don't comment on early trends in the next quarter, but I would say broadly, infrastructure is one of the most popular asset classes, particularly in the private markets, and that's helping to generate interest in the listed markets as well because there is a very good case for putting listed and private together. And this is a strategy that we're going to continue to invest in, in terms of additional vehicles. I talked about active ETFs with infrastructure being a core strategy, we certainly should have an active ETF for infrastructure. And as I referred to in my remarks, we think there's opportunities to create other vehicles that could combine private infrastructure along with listed. So we're very bullish on the strategy and as a business driver for Cohen & Steers.
Rodrigo Beisbier Ferreira: And for my follow-up, flows in global real estate were stronger than U.S. real estate in the second quarter. Can you talk about if that demand is from U.S. or international investors? And have you seen any shift away from U.S. real estate after liberation date?
Joseph Martin Harvey: It's a very astute observation, and we have had some flows into global strategies. And the global real estate strategy has been less active is just going back a little bit further. One of the reasons is that the international components of the markets have not performed as well as the U.S. have. So there's certainly been an American exceptionalism dynamic in the allocations to those real estate strategies. So I would expect there to be more interest in global when you look at our pipeline that we're working on. There are more global allocators in that pipeline. I guess the last comment I would make is that we've seen very little reverberations from all of the policy questions around things like the revenge tax. We have recently had one European institution redeem partly a U.S. strategy due to concerns about and questions about U.S. policy. But that is not a broad trend at all. And fortunately, the revenge tax was taken out of the tax regulation. And so that should help clear things up a little bit.
Operator: And we will take follow-up questions from John Dunn with Evercore ISI.
John Joseph Dunn: Maybe taking that last question a little further. Any differences to call out in terms of like geographical demand from the different regions, particularly on the advisory side? And then maybe if you can give us an update on the dynamics of the U.S. advisory effort in particular?
Joseph Martin Harvey: Well, in terms of size and activity, U.S. continues to be the largest and most active market. But we have burgeoning activity in Asia. I'd say Europe is a little bit slower. And the Middle East, while it's been very active 3 to 4 years ago, is less active right now, but there's still opportunities in the Middle East.
Operator:
Joseph Martin Harvey: Well, thank you, Abby, and thank you all for participating. We look forward to reporting a third quarter in October. And so have a great day.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.